Operator: Greetings and welcome to the Calian second quarter 2021 conference call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As reminder, this conference is being recorded.  I would now like to turn this conference over to your host, Mr. Kevin Ford, CEO of Calian Group. Thank you, sir. You may begin.
Kevin Ford : Thank you, Laura. Good morning, ladies and gentlemen. With me this morning is Patrick Houston, our CFO, and we'd like to welcome you to Calian second quarter 2021 conference call.  Please note that certain information discussed today is forward-looking and subject to important risks and uncertainties. The results predicted in these statements may be materially different from actual results.  It is my pleasure to announce the highest quarterly revenue in the company's history. Calian's second quarter consolidated revenue was CAD 138 million, a new record result in the company's history and represents an increase of 33% from the same period last year. I believe these results demonstrate the company's continued strength in a quickly evolving environments and showcases our four piston engine running on all cylinders.  Our efforts to further diversify our sources of revenue continued this quarter. Revenues from Canadian government customers were 53% of total revenues on a year-to-date basis. And you can see the progress that we've made in just over a year, where revenues from the Canadian government represented 69% of our total revenues. Our diversification has seen strong results from entering new market verticals as a result of acquisitions that operate new sectors and international growth.  Europe has been particular highlight in the past quarters. European revenues have increased by 167% for the six-month period due to strong contributions from our Learning and Advanced Technology segments.  We also increased our profitability ratio this quarter, posting higher gross margins and EBITDA margins. And as a reminder, this quarter marks our 78th consecutive profitable quarter. That's over 19 years.  All four of our segments delivered growth this quarter when compared to the same time last year, which at the time represented a new record high revenue performance. The ongoing public health crisis has created challenges and opportunities. As CEO, I must acknowledge my team who have risen to the challenge to maintain our manufacturing capabilities through health measures in a very challenging supply environment, continued to travel to customer sites to deploy satellite ground systems and support our customers virtually.  This acknowledgement extends to our health professionals as well. For example, over 200 nurses are working across five clinics located in GTA hotspots, and will vaccinate over 26,000 individuals. In Northern Ontario and Moosonee, our nurses vaccinated 25,000 residents of First Nations eldercare homes and members of indigenous communities. The team has also embraced the opportunities presented by increased demand from existing and brand new customers and delivered Calian's traditional high quality. Their efforts have been the driving force of our performance.  I'd like to spend a moment, provide an update on each of our segments. Our Health segment saw another quarter of tremendous growth. Revenue has increased by 64% compared to the previous year. This is the result of multiple initiatives, the first being the tremendous demand for services across Canada.  Having the ability to deliver high quality healthcare services has become paramount in this environment. Our expertise and reach have allowed us to respond quickly to our customers' evolving needs. This includes varied mandates including screening, vaccine delivery, procurement of healthcare products and primary care. The demand in the sector is coming to us quickly and often with very little notice.  Second, our continued growth in pharmaceutical services through our fiscal year 2020 acquisition of Alio Health. This division has been part of Calian for just over a year, and we continue to show growth in Canada and more recently in Europe and the United States.  Our Information Technology group achieved growth of 46% in revenues this quarter when compared to the previous quarter. Our acquisition of Dapasoft midway through the quarter was a major contributor. Additional contributions from EMSEC resulted in total acquisitive growth of 30%. The early contributions from both entities are enabling our Information Technology segment to grow into new markets and reach new customer segments.  Our Learning segment has seen growth of 21% in the current quarter. Our acquisitions of CTS and Cadence, both located in Europe, continue to contribute strong revenue and EBITDA and provide revenues outside our Canadian military specialty.  Our historical footprints of customers have resumed operations, and we have seen limited interruption since we adopted our various delivery models this time last year. We expect demand to remain strong as these customers try to make up for some of the interruptions in their programs during 2020.  Finally, our Advanced Technology segment demonstrated growth of 7% overall, which highlights the strength and diversity of the Advanced Technologies portfolio. Acquisitive growth was 11% in the quarter and contributions from Tallysman continue to be strong. We're very excited about the direct relationship they have formed with new customers in addition to the well-established global distribution network. Revenues in our traditional grants in satellite ground business has decreased year-over-year as we are in the final quarters of deployment of our large North American deployment.  I will now ask Patrick to review the quarterly numbers. Over to you, Patrick.
Patrick Houston: Thank you, Kevin. Our performance across revenue growth, increased margins and increased profitability are important achievements. We have strived to do this consistently over the last few years and this quarter's profitability performance is particularly impressive, given the 33% revenue growth.  Organic growth for the first quarter was 21% and acquisitive growth contributed 12%. We also completed the largest acquisition in the company's history with Dapasoft partway through our second quarter, as well as InterTronic in early January. We are already seeing strong results from Dapasoft and InterTronic has a pipeline of significant projects that we're very excited about.  Our ability to win new contracts with existing and new customers continued, with new signings of CAD 138 million in the quarter. Our realizable backlog at the end of our quarter now stands at over CAD 1.4 billion.  We saw good progress among many key performance indicators, including revenue, gross margins, EBITDA and adjusted net income. Gross margins ended the quarter at 24%, which was increased by 2% from the same quarter of the previous year. Our acquisitive strategy has demonstrated the ability for M&A to contribute and meaningfully impact our consolidated gross margins.  EBITDA for the first quarter of 2021 was 39% when compared to the same period of the previous year, which also includes one-time operating expenses from M&A costs of approximately CAD 2 million. This brings our EBITDA percentage above 10% for the quarter.  Adjusted net income with respect to the impact of depreciation, IFRS 16 and lease accounting and income taxes was up 52% when compared to last year.  Our balance sheet remains a strength with net cash at CAD 65 million. Between the cash on hand and our CAD 80 million credit facility, our total liquidity position now stands at CAD 145 million. We continue to see this as a strength as we continue to execute our strategy of investing for consistent organic growth and accretive M&A transaction.  I'll now turn the call back over to Kevin.
Kevin Ford : Thank you, Patrick. I'd like to spend a moment to talk about the acquisitions we completed since our last update. With now our fifth acquisition in the last four months, we continue to demonstrate we can do disciplined M&A transactions in each of our segments, while ensuring we integrate and deliver good performance right out of the gates.  This quarter included our largest acquisition to date in Dapasoft and we are pleased to have the company as part of the Calian family. Their capabilities in cyber, healthcare and IT services are crucial building block for our IT segment.  We also welcomed InterTronic into our Advanced Technology segment this quarter. We've seen excellent synergies with our existing satellite ground system business in Saskatoon and Germany and have collaborated to jointly bid on new business in the first few months together.  We continue to see M&A as a key growth driver for Calian. And we will continue to see both large and small transactions in each and all of our core segments.  Lastly, while the traditional markets in which Calian operates are managing through this pandemic, management expects organic revenue and earnings growth opportunities in most or all of its segments through the successful execution of our growth strategy.  However, we must caution the revenues realized are ultimately dependent on the extent and timing of future contract awards, customer realization of existing contract vehicles and any impacts due to COVID-19 and specifically government regulations related to social distancing, stay at home orders and broader global travel restrictions.  Based on currently available information of contract backlog, sales opportunities and our assessment of the marketplace, we expect to continue our growth posture in the coming year. Our guidance does not incorporate any additional M&A activity. And should we close on any new opportunities, their contributions would be incremental.  We had last updated and increased our guidance in late February following the acquisition of Dapasoft. We reiterate this guidance which would represent our fourth consecutive year of double-digit revenue growth and significantly higher EBITDA margins.  I believe our diversified segments with a mix of domestic and global customers continues to position us well for a strong year. We expect revenues in the range of CAD 476 million to CAD 516 million, adjusted EBITDA in the range of CAD 45 million to CAD 49 million and adjusted net profit in the range of CAD 29.4 million to CAD 32.7 million. Please see our press release and MDA for detailed reconciliation of our guidance.  So with that, Laura, I'd like to now open the call to questions.
Operator: [Operator Instructions]. Our first question comes from the line of Amr Ezzat with Echelon Partners.
Amr Ezzat: Congrats on a very strong quarter. I've got a couple of questions. First, on the Health segment, there are a lot of moving parts and you spoke to some of them during your prepared remarks. I'm not sure if you could quantify it or maybe give us more color on how much of the growth is COVID-19 related, i.e. testing, screening, vaccinations, even MRCUs. I'm trying to determine how much of that growth might be a temporary and a welcome upward blip versus a sustainable plateau for you guys to grow from in the coming years?
Patrick Houston: It's Patrick. What we've seen really is three things. One, our existing customers where we had kind of entrenched relationships have actually increased their demand for this throughout. It's been a combination of just higher needs. We've seen growth there. Our Alio business has continued to grow pretty aggressively. And then we've kind of added on top, this very short fuse kind of demand from COVID. I think it held for sure this quarter. We expect it should continue to some extent. It's hard to have visibility into this because it is such short notice. We're deploying people on 24, 48 hours' notice to respond to these things. By credit to the team who have been able to do that and recognize revenue this quickly. So, I think it's been a good part. But I'd say the rest of the business, even despite that, has very strong growth aspects this quarter.
Kevin Ford: For me – this is Kevin – the thing that's interesting is the opportunity from a customer diversification piece here has been fantastic. I'm seeing two things. Really, I'm seeing the Calian Health brand continue to get stronger where people are seeking out now to support them. And frankly, these are customers we had not any relationship with prior to COVID. So in the short term, it definitely creates some tailwinds. And longer term, we're getting a lot of new customers in our Health segments, as well as a much stronger healthcare brand, which I've been focused on, as you know, for years. So, I think longer term, yeah, maybe it comes down a bit, but I think it's all full steam ahead with our Health. And as I mentioned, we're now doing some trials now with our Alio business in Europe and United States. So I'm still very optimistic on our healthcare trajectory.
Amr Ezzat: That's good color. I didn't get a number out of you, but it's still good color. If we speak to the Advanced Tech, like you said, we're seeing the value of your diversification in that, unlike Health, the segment is impacted by COVID. You guys mentioned in your MD&A an impact on the delivery volumes of the mobile wireless products then on ground systems, although I'm not sure how much. Can you maybe like quantify how much of an impact COVID is having, like how much lost revenues are there then?  The second part of that question is, obviously, we're seeing parts of the US reopening. When can we see you guys recoup the sales?
Patrick Houston: On the mobile wireless product, we have seen that deployment slow down a bit this year. It had started last year, and it was a big contributor for us. It's probably in that CAD 5 to CAD 10 million range revenue impact this year from that deployment slow down. We're still optimistic that that picks back up here and starts to contribute maybe by the end of the year, probably earlier next year. So, still very optimistic about that. And then that was a good development that we had done internally. So, I don't think it's gone away. It's just been a bit slower this year. And on the ground system, we've spoken to that quite a lot. We're still deploying. We're in the final 25% of the sites that we're deploying. And we're plowing ahead despite any challenges with COVID or travel or shipping or anything. The team's just totally focused on getting it done and handing it over to the customer.
Amr Ezzat: Is it getting easier to deploy?
Patrick Houston: I think it has been. Some of our people in the US have gotten vaccines, which has been good which has given them comfort to continue to work, so that's been a positive. And every time they take on a challenge and beat it, they figure out how to do it right. So, I think the more we've knocked down to these challenges, the easier it gets. But it certainly has been an interesting environment to do this over the last 24 months. 
Kevin Ford: It's Kevin. Just to comment on your question about backfill from a US perspective, so we do have quite a few opportunities in the segment in the US markets, whether it's defense, radio astronomy, whether InterTronic's acquisition or frankly even our Tallysman acquisition as well, when we look at the GNSS antennas. So, we expect the US market continue to be a strong contributor to us. And as we unwind this large project, we do see quite a few opportunities to backfill and, actually, continue to grow in US and also global markets.
Amr Ezzat: Maybe one last one. On your guidance, you chose to maintain it, despite the strong performance year-to-date. Year-to-date, we're at CAD 25 million dollars of EBITDA, and it seems like you might recoup some loss sales by year-end and you've got two full quarter contributions from Dapasoft coming up. Is that you guys like being cautious or should I read something into that guidance for the second half of the year?
Patrick Houston: To your point, really strong first half performance from us and the team. And I think that sets us up to have a really strong year. Last year was a record year on every level for us. And we should beat every one of those this year again. So I think we're still very positive about the second half. A lot of this demand we've talked about is coming at us very quickly. We don't have great visibility into it. But the team's responding well. So I think, to the extent that momentum continues, we certainly could see us pushing up towards the top end of the guidance or beyond that, but I think you need to find that out here in the next five months.
Kevin Ford: I think with COVID as well, frankly, our team has done very well to manage through it. But again, we're really being cautious in the sense that we're one wave away or one variant away from maybe something changing here that was on nobody's radar. So, we're very confident. We've upped our guidance twice now this year. And reiterating our guidance now, I think, should send a clear message to the markets that we're confident on our growth profile, and as Patrick said, to achieve another record revenue and EBITDA performance for the company this year despite the conditions we're operating in.
Amr Ezzat: Congrats again. 
Operator: Our next question comes from the line of Benoit Poirier with Desjardins.
Benoit Poirier: Congrats for the very good quarter. If we look at organic growth 21% year-over-year, so very strong. Could you maybe perhaps break down this performance for each segment?
Patrick Houston: I think we had organic growth in three of the four segments. So that was good to see. I think Advanced Tech was the only one with slightly negative organic growth, but obviously Health is the big organic growth driver. I have to pull up the numbers. But Health certainly had the highest. Learning was kind of in that 12% to 15% organic growth. And IT posted some good organic growth as well, despite Dapasoft and EMSEC being the big stories there this quarter. They still were able to have kind of single-digit organic growth. So, that was very positive.
Benoit Poirier: And looking specifically at Advanced Tech, the large ground system contract, could you talk about the remaining portion that needs to be delivered? And from a working cap standpoint, when I look at work in process, working capital movement, would it be fair that there's still CAD 50 million of work in process to recover by the end of the completion?
Patrick Houston: We've got probably about CAD 50 million of revenue left on that project to deliver over the second half of the year here. And, yeah, you're correct. We didn't make as much progress on the working capital this quarter. So, it still stands in that CAD 50 million range at the end of the quarter.
Benoit Poirier: Still CAD 50 million. Okay. Could you talk about the timing for starting the other one, the other opportunity that you were awarded? I know it's coming – I think it's beginning of the fiscal 2022 or Q4. If you could talk about the timing and also about the overall opportunities in the ground system business.
Kevin Ford: Yeah, so that European carrier did award us business. That was great. We started on it a little this year, but we haven't booked any significant revenue. I think that the majority of the revenue is going to start at towards the end of Q4, into Q1. So, that one's pushed a bit. But, obviously, we still have the contract. And we've been kind of doing planning with the customer. On the pipeline, Kevin? 
Kevin Ford: I think the pipeline, it's interesting, Benoit. A lot of people ask me about how the satellite business is growing. And I can say now with the combination of InterTronic, SatService, and Advanced Technology's legacy business in Saskatoon, we're bidding – we're very busy right now. The proposals are going out the door. Some of them smaller, some of them larger opportunities. And quite a few of them are for new customers to us through the InterTronic acquisition, for example. A lot of US-based customer opportunities, SatService. We're winning and bidding deals now in the European market with a much stronger footprint there locally. And Advanced Technology now also with Tallysman now, we're talking about whole new segments for Calian in areas like autonomous vehicles, precision agriculture because the GNSS antennas are definitely relevant and required in any kind of autonomous mode. And so, to be honest, I don't think I've ever seen the pipeline so diversified and very excited about the opportunity both domestically and globally in that. So, I'm pretty confident we're going to continue on a good trajectory in that Advanced Tech group. And the only thing we're dealing with, frankly, in the short term has just been some delays in the programs on getting through proposals or our fees just due to COVID. But those opportunities haven't gone away. They definitely didn't go – should be coming back, I would say, at the end of this year, early next year.
Benoit Poirier: And looking at the mix for Advanced Tech between product and services, if I look at product revenues, about stable at CAD 29 million. Service side, it has been improving year-over-year. Given all those bidding opportunities, where would you expect the mix between product and service to evolve for Advanced Tech, let's say, in the next 12 months to 24 months? 
Patrick Houston: I still think as we win some of these bigger projects, that drives a lot of product revenue for us. I think we delivered the ground systems. So, those are our biggest swingers in terms of that. But from a service perspective, we've got a very consistent business in engineering services, software development. Those ones have been continuing to grow kind of on an organic basis, 5% to 10% per year. And they're a good contributor from a bottom line perspective. So, I think those certainly – you shouldn't see any going backwards on the services, but rather a consistent growth.
Benoit Poirier: The last one for me, obviously, when we look at dry powder, the fact that work in process for the large ground system contract will contribute positively, obviously, a lot of dry powder. Could you maybe provide an update on the M&A opportunities? How does it compare versus the Q1?
Kevin Ford: I think we continue to see M&A opportunities, Benoit, in every one of our segments for sure. I think you can appreciate, between the last 12 months with quite a few acquisitions done, we want to continue to ensure not only acquiring, but integrating, and so a lot of the focus right now is integrating the current acquisitions that we've done. And done, again, over the last 12 months, quite a few, including our largest of Dapasoft. So, the pipeline is good. We continue to really look for – we're picky buyers. We continue to look for good value. As we've talked in the past, if you look at the last group of acquisitions, our average multiple, 5.5 times EBITDA, I think it's actually – in today's market, that's fantastic. And these are great companies. And as well, we do believe that there are other opportunities, but we just want to make sure that we're getting that right mix of cultural alignments, financial performance, as well as strategic alignment in the sense where we're trying to move with our company. So, we definitely see opportunities in each of our segments. Pipeline is still good. But to be honest, I'm not in a rush to continue to acquire just because I want to make sure we integrate what we've got. And I also want to make sure we're looking at good companies moving forward here. So, we will continue to push forward with this and, hopefully, see a few more deals over the next little while. But right now, it's really a real focus on integration of the capital we've deployed to date.
Operator: Our next question comes from line of Deepak Kaushal with Stifel. 
Deepak Kaushal: I just have a couple of quick ones. On the margins, it's nice to see EBITDA margins in double digits. That's the first time I've seen it on record. And when I go through the segments, it looks like IT is still in single-digit range. Everything else has been in double digit, excluding corporate overhead. I know that you've got EMSEC and Dapasoft that you're integrating now. What's the outlook for the IT business margins and when do you think that you can see that firmly in the double-digit range where the other segments are? 
Patrick Houston: We did have the one-time acquisition expenses in the IT segment this quarter with the closing of the Dapasoft and EMSEC transactions. I think that was about CAD 1.6 million charged to that one. So, if you normalize for that, their margins are closer that 10%. And I do expect, as Dapasoft increases the proportion of revenue, they're going to represent about a third of the business in IT going forward and they're at much higher margin. So, I think, as you check back in, you're going to see consistent growth on the margin profile for IT here in the coming quarters.
Deepak Kaushal: So, the CAD 1.6 million charge in IT, I think you said that was out of a total of CAD 2 million or something for the entire company?
Patrick Houston: CAD 2 million, yeah. We had some in InterTronic as well that would have been in Advanced Technology. 
Kevin Ford: And just to reiterate, we charge those costs to the segments. I think it's important that people understand that those charges…
Deepak Kaushal: Yeah, you don't adjust them out of your EBITDA. 
Patrick Houston: Yeah, we charge to the segment. And we don't take it as a corporate overhead number.
Deepak Kaushal: When I think about all the segments and I think about the path to even higher margins, I think software is, obviously, a good path to get there. When I think of kind of pure software acquisition or IP development, what's kind of the leading horse, like which of the segments is the leading horse in terms of software development, IP development, or even M&A opportunities for pure software tuck-in to drive margins higher? If you can make sense of that big long-winded question.
Kevin Ford: So, I think a few things. Number one, it's important to reiterate our software capability today. We have a very deep software group in Saskatoon, our legacy division there that we do software developments. We have a strong software pedigree with software methodology, the whole kit. Then you layer that into acquisitions we've completed now with the InterTronic, the Tallysmans, the Alio/Allphase with the health outcomes management engine, which actually is a software platform. We're now looking at how to evolve and offer it. We've been using it primarily for our own services. But can we evolve that as a platform to actually offer to customers because we're actually using it in a lot of the COVID assignments we've been given, customers who've asked us to bring a whole solution to the table. So, we think there's opportunities there in the healthcare side, for sure.  And then, Seann Hamer, who's our CTO – I've created a position for the first time in company history – is really looking at those organic opportunities with the team right now to look at where we have software capability. And so, if we have Alio HOME and we have the Corolar product that we bought through Dapasoft now and their Microsoft virtual care platform that we're working with them on now in pilots. So, I think we have lots of current organic opportunities, Deepak, to look at software more as a service, as more as a platform. So stay tuned on that.  And through M&A, to your point, clearly, one of our priorities, as I've mentioned in the past, is more technology enablement in all that we do. And a priority for us will continue to be looking for those companies that bring that IP, that bring that software capability and potentially a platform for us in either one of our segments to continue to scale this company. So, it's going to be a combination of both organic and start harvesting the assets we have today, as well as M&A, looking for some good opportunity there. And we think those exist, by the way. We believe at some point in time, we'll see a major shift here in Calian as we continue to evolve our services into more of a technology-based platform. So, standby. It's definitely on our radar.
Deepak Kaushal: Congrats to Seann Hamer on the appointment to CTO.
Operator: Our next question comes from the line of Nick Agostino with Laurentian Bank.
Salman Zia Rana: This is Salman Rana on behalf of Nick Agostino. First of all, congratulations on the very strong quarter. So, my first question was about the company's focus on cross integration. We saw that that cross integration effort is paying off with initial signs through the Dapasoft acquisition, with the alignment with Health and IT services. Is the company seeing any other opportunities right now, which indicate to further signs of such cross integration? 
Kevin Ford: I think for us, as we look at what I call convergence across the company, so as everyone's heard me talk before, and my four kids at home, my four kids at the office have all grown up. Now, I was talking about how they're going to play in the sandbox together nicer in the context of how do we help our customers now as a consolidated unit. To your point, the healthcare customer now, we could go to a healthcare institution now and talk about whether or not they need access to our largest national network of medical practitioners. We can ask whether or not they need a virtual care platform. We can talk to them whether or not they need cyber services, whether it's an assessment or actually managed cyber services.  So, as we look at, to your point on that case, healthcare and IT coming together, I don't want our customers having to worry about how we're organized. I want them to see the potential capability of merging these segments together to your point.  If you think about business resiliency, which is another topic, obviously, cutting through pandemics and business resiliency as a highlight with regard to how do you ensure you stay resilient in these times, but we can talk to customers now about their virtual platform, in other words, their cyber platform. We can also talk to them about their physical infrastructure. In other words, do you really want to look at your emergency management business continuity plans? Do you want to do an exercise to actually put them through their paces, and that's what we're doing for the military, that's what we're doing for a lot of critical infrastructure organizations around the world. I've talked before about simulating tornadoes hitting nuclear reactors. So, it gives us an opportunity. There's another example where we can talk to a customer about business resiliency, and not even tell them about how we're organized for sure.  When you think about all of the other capabilities now, learning and healthcare, IT and healthcare we've done with our Learning and Advanced Technologies, we do believe those convergence opportunities exist, and we definitely will continue to focus on them as we grow each of the segments independently. So, great question.  I think as Calian really figures out and we work through that with my business unit leaders, those convergence opportunities, it's only going to be new opportunities for us to grow. So, pretty excited by that. I'm excited about the segments independently. But I'm also very excited about the convergence opportunities as we get deeper in each of our segments.
Salman Zia Rana: It shows great promise and a lot of good color on that. Secondly, any update on the interest in nursing services beyond Canada? I believe we've heard in the past how it's gathering some momentum and interest in Europe as well. So any updates there?
Kevin Ford: Absolutely. So, what we've been doing is we've been supporting our customer with our with our Alio organization and Allphase. And basically, they've just been so happy with what we're doing in Canada, they've asked us to extend that footprint into Europe. And now, I believe we're in five or six different countries in Europe, as well as US pilot. So, we are piloting. So, we're going to walk before we run. So, it's going well. As you can imagine, in health care, we have to ensure we understand local regulations or rules. So, we want to make sure that as we do this, we do this right. So, it is growing. It is an opportunity. And so far, with everything we've been doing for this customer, it's going very well. So, as we get a good understanding of the environment and all the different requirements we have, we will definitely continue to invest in that diversification.  So, right now, it's a walk before you run, but I do believe we're learning. And we see great opportunity there, which is very interesting. If you saw my notes and my comments, our European revenue, when you think about where it was even a year ago, it's very strong performance now with SatService, CTS, Cadence, now we have healthcare, pilots happening in Europe, and then if you think about the US marketplace with the InterTronic acquisition and deep customer base there, our customer diversification opportunities here across all that we do is very strong. And in healthcare specifically, we're pretty confident we can continue to grow globally. But we will walk before we run there to make sure we get it right.
Salman Zia Rana: Just one last question from my side. So, as it regards to the Primacy division, so the MD&A highlighted that the company continues to expand its SRP work with the military as it relates to the Primacy division. Are there any plans on further expansion with Loblaw? You know that there are 150 facilities that Primacy is running right now. What are the plans there?
Kevin Ford: Right now, with Loblaw, we basically support their agenda with regard to their retail clinic program. I would say my – what I'm seeing right now is obviously a lot of focus with the integration of Shoppers, continue focusing on the Shopper platform, those type things. So, I'm not sure we're going to see lots of growth in our current clinic counts with regard to Loblaw. But what we're trying to do is work with our broader healthcare capability, talking to how we help organizations like Loblaw. It's not just about the clinic platform. But now we've got healthcare integration platforms, we've got virtual teams platforms, virtual care platforms, we have cyber platforms. And as you know, Loblaw and Shoppers, very, very focused on health. So, we're hoping to find more opportunities on top of that Primacy relationship that we can bring the full scope of Calian into that and strengthen our role as a strategic partner in their healthcare business. That's really what we're trying to get to.
Operator: Our next question comes from the line of Jesse Pytlak with Cormark.
Jesse Pytlak: Just one question for me. And I want to come back to the convergence topic. Just wondering if you can maybe more specifically elaborate on any of the opportunities that you're starting to see or unlock just kind of given all the acquisitions that you've done in the past 18 months? And more specifically, within the segments that those businesses have been integrated into? 
Kevin Ford: Great question. I think for me the greatest example of this is our Advanced Tech group. Now with InterTronic, SatService and our legacy division in Saskatoon, so what we've done, obviously, a combination of two elements of our growth framework. So, obviously, customer diversification. So we have – through those acquisitions, taking those core competencies of complex engineering and complex manufacturing, software engineering, apply them now to different use cases in the context of customer challenges. So, by definition, that's been an opportunity from a convergence perspective. It's just doing what we do for new customers that really need that high execution on solution.  But if you look at as well with InterTronic and their mobile antennas side service, with some of their infrastructure, we just have become a stronger player globally now through the opportunity to have those three entities work together in a global marketplace. And I think that's being recognized, frankly, both by our customers and our competition. So, there's a convergence opportunity, not necessarily in the context of convergence across the segments, convergence within the segments and convergence within the segments and strengthening our capabilities there.  In the Dapasoft scenario, why we love that acquisition is, your point we've talked about, is the – now in the healthcare sector, as I mentioned earlier, we can take now both the practitioner side, as well as the technology side of healthcare and go to talk to customers about a stronger opportunity for sure.  And the next area I want to really focus with our team is also looking at that Learning business. Learning, I've seen some IPOs come to the table recently in learning. I think a lot of people are trying to figure out how to now keep their staff engaged, how to keep educating staff in a virtual environment. So, we think that virtual learning platforms, those type things will be something that we can definitely focus on, continuing to grow our business [indiscernible]. So, stand by for that. That's what we're trying to find next, is those convergence opportunities to bring learning into healthcare, learning into advanced technology, learning into cyber because we do believe those opportunities exist. 
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Kevin Ford for closing remarks. 
Kevin Ford: Thank you, Laura. And thank you, everyone, for attending today. As I mentioned, very, very proud CEO at this end of the line to be able to get records in this environment. I just want to reiterate my thanks to our team, to our staff, to the over 4,000 people that comprise this company domestically and globally. I can't thank them enough. This is not about my performance. It's about their performance. And again, I want to highlight that and thank them because, without that, we just are not sitting here with the results that we've had. So, we're looking forward to giving you an update next quarter. And again, thanks for the time, thanks for the questions.  And with that, Lara, we can end the call today. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.